Operator: Good afternoon, ladies and gentlemen. My name is Amber and I will be your conference operator today. At this time, I would like to welcome everyone to The Gap Inc. Fourth Quarter 2014 Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to introduce your host, Katrina O'Connell, Vice President of Investor Relations.
Katrina O'Connell: Good afternoon, everyone. Welcome to Gap Inc.'s fourth quarter 2014 earnings conference call. Before we begin, I'd like to remind you that the information made available on this webcast and conference call contains forward-looking statements. For information on factors that could cause our actual results to differ materially from the forward-looking statements, as well as reconciliations or descriptions of measures we're required to reconcile to GAAP financial measures, please refer to today's earnings press release as well as our most recent annual report on Form 10-K and our subsequent filings with the SEC, all of which are available on gapinc.com. These forward-looking statements are based on information as of February 26, 2015, and we assume no obligation to publicly update or revise our forward-looking statements. I also want to mention that Sabrina will be using slides to supplement her remarks, which you can view by going to the Investor Relations section at gapinc.com. Joining us on the call today are CEO, Art Peck; and Executive Vice President and CFO, Sabrina Simmons. Now I'd like to turn the call over to Sabrina.
Sabrina Simmons: Thank you, Katrina. Good afternoon, everyone. Let me start with some highlights for the year and then I will go through Q4 results before turning to the outlook for 2015. For the full year, EPS grew about 10% excluding the estimated year over year impact from foreign exchange. On a reported basis, our earnings per share for the full year grew 5%. Our largest brand, Old Navy, delivered positive comps in each quarter and finished the year with a strong 11% comp in Q4. We achieved our goal of leveraging expenses. At 25.6% of sales, our SG&A rate was the lowest since 2005. We generated free cash flow of $1.4 billion and distributed about $1.6 billion to shareholders through share purchases and dividends. Moving to the fourth quarter and full year financial results, regarding earnings, there’s been quite a bit of focus on the recent strengthening of the US dollar and its impact to 2015 earnings, which I’ll address of course in the outlook. But it’s important to note that we’ve already absorbed a great deal of foreign exchange headwind 2014. Full-year net earnings were $1.26 billion and earnings per share were $2.87. This includes about $0.14 unfavorable impact from foreign exchange. The FX impact was most pronounced in the fourth quarter. Excluding the estimated year over year impact from foreign exchange, Q4 earnings per share grew about 20% versus last year. On a reported basis, net income was $319 million and earnings per share increased 10% to $0.75 per share. Turning to sales, sales for the fourth quarter were $4.7 billion and increased 5% on a constant currency basis. Comp sales were up 2%. For the full year, net sales were up 2% to $16.4 billion and up 3% on a constant currency basis, driven by Old Navy’s strength. Comparable sales were flat for the year. Moving to gross margins, fourth quarter gross profit increased by $65 million to $1.7 billion and gross margin expanded by 40 basis points to 35.2%. Merchandise margins were up 60 basis points for the quarter and rent and occupancy deleveraged 20 basis points. For the full year, gross profit was $6.3 billion, and gross margin was down 70 basis points to 38.3%. At the beginning of 2014, we stated that foreign exchange would likely pressure our merchandise margins. For the year, merchandise margins were down 40 basis points, driven by the FX impact as well as disappointing performance at Gap brand. As anticipated, rent and occupancy deleveraged by 30 basis points. Regarding SG&A, for the fourth quarter total operating expenses were $1.1 billion with marketing expenses at $178 million, slightly below last year. Total operating expenses for the year were $4.2 billion and leveraged 10 basis points despite moving $160 million of credit card income out of SG&A and into merchandise margin. Marketing expenses for the year were $639 million, about flat to last year. Regarding stores and capital expenditures, we opened 116 new company-operated stores in 2014 net of closures. In line with our strategy, international store growth was focused primarily in Asia and North America store growth was focused on our outlet channel and Athleta. Not surprisingly, closures were focused on Gap specialty North America. Our square footage grew by 2.4% in line with our guidance. Store counts and square footage by division are in our press release. Regarding the balance sheet and cash flow, as we stated would be the case, we improved inventory levels throughout the year. Inventory dollars per store were down 5.5% at the end of the fourth quarter. This was better than our previous guidance, driven by foreign exchange, favorability and stronger than expected sell through at Old Navy. We ended the year with about $1.5 billion in cash after having distributed about $1.6 billion to shareholders. Ending share count was 421 million shares. And now I’d like to share our outlook for 2015. Regarding earnings per share, on a reported basis, we expect earnings per share to be in the range of $2.75 and $2.80. Included in this guidance is an estimated unfavorable impact from foreign exchange at current spot rates of about $0.16. And unfavorable impact of about $0.13 due to the West Coast port situation and an expectation for slower turnaround at Gap brand. Excluding the impacts of foreign exchange, the port issues and last year’s gain on sale, our underlying expected EPS growth rate for 2015 would be about 12 percentage points higher or about 9% EPS growth at its midpoint. Now let me address the port issue. While we’ve been managing the slowdown at the port for some time, it’s the additional weekend closures in February and the resulting additional backlog that are driving the expected negative impact to earnings. In simple terms, the first quarter is impacted by having fewer units available for sale. It’s important to note that this is particularly impactful to Old Navy, given the importance of the Easter holiday to Old Navy’s business. Additionally, the second quarter is impacted by late units arriving in Q2 and potentially being sold at lower margins given that fall flows come in shortly thereafter. Regarding your inventory guidance, excluding the impact from the port situation, we would have expected inventory dollars per store to be slightly down at the end of the first quarter. Given the fluidity of the situation, we’ll provide an update on inventory later in the quarter. Moving on to the impact of foreign exchange to the year ahead, at current spot rates, we estimate that foreign exchange will negatively impact our reported EPS growth rate by about 6 percentage points. This equates to about $0.16 or over $100 million of pre-tax earnings. While comp is reported on a constant currency basis, the remainder of our reported performance is subject to currency fluctuations. As a reminder, our largest foreign subsidiaries are in Canada and Japan with combined sales in these two countries of over $2 billion. Both the Japanese yen and the Canadian dollar have depreciated by about 30% over the past two years. With the continuing depreciation of these and other currencies against the dollar, our reported results have been and are expected to be negatively impacted. There are two primary impacts of foreign exchange. The first is translation and the second impact is the economic impact to our merchandise margin. We hedge the majority for inventory purchases for our foreign subsidiaries 12 to 18 months in advance. Effectively, this delays the impact of depreciating foreign currencies on most of our cost of goods. However, as the old hedge rates lapse and new less favorable hedge rates come on, the cost of goods in local currencies will increase. In addition, unhedged inventory purchases will be subject to foreign exchange movements. Moving to expenses and operating margins, we have a strong track record of managing expenses and we intend to continue that. However, it’s unlikely we’ll leverage expenses in 2015. As a reminder, we are lapping the $39 million gain on sale as well less absorbing the increase to our minimum hourly wage that we announced last year. Given the negative impact from foreign exchange, the port issues and last year’s gain on sale, we expect operating margins to be down about a point to 2014 on a reported basis. However, excluding these three factors we expected operating margin on an underlying basis would modestly expand. Here are some other guidance metrics. We expect to add 115 net new stores, with our year end store base in China into over 150 stores and Athleta store base growing to 120 total stores. Square footage is expected to increase about 2.5%, we expect capital expenditures to be about $800 million with the increased focus on omnichannel and supply chain capabilities, we expect depreciation and amortization to be about $525 million and we expect our full year effective tax rate to be about 38%. Finally, we remain very committed to our principle of returning excess cash to shareholders, underscoring that commitment we are pleased to have announced a new $1 billion share repurchase authorization and our intent to again increase the dividend to $0.92 per share. As we enter 2015, we remain focused on using all of our levers to further drive value for our shareholders. Thank you. And now, I’ll turn it over to Art.
Art Peck: Thank you, Sabrina, and good afternoon. It’s really a pleasure to be here addressing all of you. And before I go into anything concerning the business and looking forward, I would be remiss not to thank Glenn for everything that he has done for the company, his tireless effort over the last eight years, what he brought the company in terms of vision, strategy, discipline, and most importantly results and I have to thank him as well for everything he did as we worked shoulder-shoulder over the last few months during this transition time. We as a team feel that he was incredibly helpful to all of us in effecting a smooth transition, in sharing his perspective on what we need to do going forward and then allowing the team to get settled in to hit the ground running in 2015. So again, I need to thank him on behalf of myself and the team for everything that he has done. So I’ve been in the job now for officially about three weeks. I am very bullish on the future of this company. We have great brands with tremendous potential, I am extremely pleased with that being that is now in place and equally pleased with the consistent sense of urgency that every member of my team has in making the changes that we need to make to compete successfully and consistently. Product is critical for us and consistent product season after season appropriate to our brands is nonnegotiable. As I look forward, I first want to talk about where we are today. Let me spend a moment and talk about the guidance that Sabrina gave to you. To be clear, I fully believe in the economic model that we have articulated and that we have been executing over the last several years. That said, there are three issues that are going to affect our performance in 2015, the two are macro issues with foreign exchange and the port situation and the third is the performance of Gap brand. I want to double-click for a moment on Gap, none of us are satisfied with the performance that we are seeing at Gap. I made a very quick change with senior leadership there. I did this because we were not seeing the performance improvement in the business that we needed to see and specifically I was not seeing the women’s product back on track the way it needed to be for the brand to perform to its potential. Jeff and I are together focused on what we need to do in order to get the brand back on track and it starts with riding the women’s business. There’s an aesthetic issue which we’re working on today with urgency, we’re pleased to see that the denim business seems to be showing signs of life, but Gap as a brand is much more than denim and we need to have the women’s business hitting on all cylinders in order for the business to deliver the performance that we expect. 2015 is largely bought, really through fall right now, Jeff and the team are focused on making product changes that they can make, but those will be modest and incremental until we get to the late in the year. Holiday is under significant scrutiny now, I’ve looked at it, Jeff has looked at it, the team is focused on it to make as much improvement as we can before you buy the product. Let me quickly refresh your memory. In early 2011, I sat in the same seat that Jeff is sitting in right now at Gap brand. I know from my experience and I’m sharing this with Jeff that we can get the brand back on track quickly with a relentless focus on products. When Jeff got into his role, he moved quickly to make some changes on his team. The obvious hole has been the leader of design and I’m very pleased to announce today that Jeff has hired Wendy Goldman who will be rejoining our company in a new role as Head of Design and Product Development for the brand. I’ve gotten to know Wendy over the course of the last few months and I feel very confident that she will be a strong creative leader and a significant addition to the team. She knows our company from 8 years here early in her career and more importantly she brings her experience from a very successful 11 year run at Limited Brands. Again, 2015 is going to be a year of hard work in getting the brand back on track. But I am very pleased that we have the team largely in place who will be doing that work. Now that said, I am bullish on where we are overall as a company. The consistency of performance that we’ve seen with Old Navy really premised on the back of season after season products that is on trend and on brand gives me a deal of confidence and it’s the product work that Stefan and his team have done around how they think about trend, how they build the assortment, and how they line up all elements of the business to express the brand consistently through marketing, product and in-stores. I’m very happy with what I’m seeing with the team at Banana Republic. Andi has excellent taste, she understands the brand and she has been one of our most consistent operators inside the company having worked directly with me in a number of roles. Andi and I both expect more from the brand. April is Marissa's first product flow. We saw fall presented last week at fashion week to a very good reception and reaction. And so we’re committed to continuing to move Banana forward, the proof is always in the product that we’re putting in the stores, but we’re excited about what we see and have high expectations. Let me spend just a moment then on Athleta. We’re excited about what we are seeing there and we are excited about the continued growth both in the active space and in the space where active meet her ready to wear wardrobe. You also have seen, given how excited we are, the fact that we continue to push on fit inside of Gap and on the active expression inside of Old Navy as well. And so this is a space that not only through Athleta, but as a company, we’re very committed to. Over the course of 2014, we made significant progress in the omnichannel space and we are very excited about the customer response there so far and we are pushing forward to roll out all of the capabilities across our brands in North America as quickly as possible. On top of omnichannel I just want to spend a moment really more broadly on experience. And if you've been following some of the changes that we've made, you would have noted that we brought together the traditional marketing activities and our digital business inside both Gap and Banana Republic. Why am I excited about that? I am excited about that because today the digital expression of our brand is the primary way that our customers engage in our brands. And if you look at our traffic, the bulk of our traffic is coming into our digital properties and I'm convinced that going forward we will win or lose at our digital leased line. Historically, our websites needed to be and have been tremendously effective and efficient channels that our customer bought through. We need to continue to be that going forward, but our digital expression of the brand needs to be more than that. It needs to be aspirational, holistic, emotional, in a way that few people have expressed their brands digitally. And we are focused on doing that across all of our businesses. I want to spend a minute on global growth. Glenn and I worked shoulder to shoulder to create this strategy and growth that we have been pursuing at consistently over the last several years. It is my intent to continue to pursue growth and obviously through all of our brands and most importantly through Old Navy's expansion into China and Japan. We continue to open stores in China with the plan for this year being about 40 stores, which is consistent with our store opening over the last year or so as well. Let me close just by coming back to a little bit to where I started. I'm very excited to be sitting in this role. I'm very optimistic about the prospects that the company has in front of it, I'm also very asked and objective and have a great deal of urgency about some of the work that we need to do to get parts of the business back on track. I can give you my strong assurance that I and my team are resolutely committed to doing what's necessary in order to make that happen that as quickly as possible. Thank you. Katrina, I will pass it back to you.
Katrina O'Connell: That concludes our prepared remarks. We’ll now open the open up the call to questions and we’d appreciate limiting your questions to one per person.
Operator: [Operator Instructions] And we will go first to Barbara Wyckoff with CSLA.
Barbara Wyckoff: When will Gap and Old Navy be in a place where they can react in season to accelerate the flow of bestsellers through the fabric platforming initiatives? And if it's not happening yet, when will this start to occur? Thanks.
Art Peck: So here is the reality, we are actually set up to do that today and we are continuing to grow that capability not just in Gap and Old Navy, but across all three of our big brands. It logically connects to the question obviously of the port situation and I’ll address that proactively here which is that with Gap in particular, the port situation for one thing, that is something that is very short-term and really outside what we've built in terms of our responsive supply chain, we've reacted to that through logistics and I'll let Sabrina talk more about that, I'm sure that will come up. With Gap and the aesthetic corrections that we need to do, what I'd like to be able to tell you is we can correct it with the response in supply chain capabilities that we've built. The reality is that we're more rebooting some of the aesthetic elements with brand, those are capabilities that are set up to help us more in season with chase and open to buy and those types of things. So it's really the little bit disconnected from the palm that we have in Gap right now. But I'm working very closely with Sonia Syngal, who is our Head of Supply Chain and Product Operations, as well as the brand presidents and these are capabilities that we've talked about before, we are continuing to build them and we are very bullish about their ability to impact the business.
Operator: And we will go next to John Morris of BMO Capital Markets.
John Morris: I guess kind of a big picture question for you, Art. You touched on a number of the initiatives. I think we can get a pretty clear sense of the priorities you've got mapped out, clearly likely beginning with Gap women's. But beyond that, maybe first of all, if you can talk a little bit more about how you would rank those other priorities? What you really want to address in the coming year, but also an eye towards any initiatives this year that might be different from the course that was charted most recently in the past under Glenn. Thanks.
Art Peck: So clearly, Gap is at the top of my priority list. As I said a few minutes ago none of us are happy with the performance, not me, not Jeff, not the team, and so we're , very focused on fixing that as quickly as possible. If I look back and step back from that a little bit, as Gap is doing that work to itself right now, there are the broader strategic priorities and we will talk more about those obviously over the course of next several months. I would remind everybody that I think I'm day 26 or something like that, so still bringing the team together. That all said, and I said this before when we spoke a quarter ago, I don't want to communicate at all that there is going to be a big shift at the end of our priorities. Product is absolutely critical to us and underneath product as a priority, our responsive supply chain capabilities, our seamless inventory capabilities, fabric platforming, obviously design and design talent, all supercritical. And when I'm talking product inside and outside the company, it’s on brand, on trend product, but consistently. And that consistency issue is one of the things that I'm really focused on. And in the second issue is really for me its experience and on the experience it's the omnichannel, the physical and the digital experience and how all of that comes together. So it's really about, in my words, powering up our focus on those as much as anything rather than deviating from them. And then, of course, global growth which I referenced and I just want to come back to which is we are committed to continuing to build out our global structure and to put consistent product appropriate to our brands and on trend season after season, not a lot deviation at all from those as our priorities.
Operator: And we will go next to Adrianne Neve with Janney Capital Markets
Adrianne Neve: I was wondering if you could – obviously it goes without saying that product is paramount, but if you could address where you see further opportunities to incorporate technology into the business to either drive sales or improve and enhance the operational aspects of the business? Thank you.
Art Peck: Some of what we – and I appreciate the question, that was a good one for me, since I'm passionate about this as well as a number of other things. I think as we said, we are really continuing to push these omnichannel capabilities which have been for us more, what I would call, spot capabilities, so reserve in store, shipping from store, finding store, and now we are testing mobile POS which we talked about before, knowing now how the customer is reacting to those, having learned a lot about how it comes together to form a customer value proposition and now starting to integrate them into a more holistic offer, that's really the focus and it's going to be the focus over 2015. We are testing mobile POS right now, which is really, as we've been talking about, as we push our POS to really a cloud-based POS that brings all of our web services in, we've been testing that on a small device in stores and both the sales associates and the customers have been reacting incredibly positively for that. And so it starts to open up a number of things for us, different ways of interacting with our customers, giving the sales associates those tools, different ways of engaging with those customers in a sitting room where we can actually get a transaction done. Of course, you pivot back to what does that mean to the real estate that we currently have committed, the church that we've built for Easter Sunday, if you will, with all of the registers at the front of the store, can we start thinking about putting some of that real estate to more efficient use and underutilized registers for much of the year. And so those are all things that we're absolutely focused on, it's well past proof of concept both in terms of technology as well as how customers engage and you will see us continue to push those out over the course of this year.
Operator: And we will go next to Simeon Siegel with Nomura Securities.
Simeon Siegel: What's the right way to think about the other segment sales and profitability line as you guys close Piperlime and any update on the intermix business and the opportunities there? Thanks.
Sabrina Simmons: So the others primarily going to be Athleta, Intermix and Piperlime. It is being impacted your point by the fact that we are winding down Piperlime. So that's one of the primary impacts. Athleta continues to be on a very good path, so we are very pleased with the year and how it's all gone.
Operator: And we will go next to Lorraine Hutchinson of Bank of America Merrill Lynch
Lorraine Hutchinson: As you think about product purchases for the back half, what are you seeing in terms of average unit cost and does that have an impact on how you plan on pricing your product in the back half?
Sabrina Simmons: I'll start with that and then if Art want to chime in that would be great. With regard to average unit cost, we've talked about the fact that spring didn't really have a lot of change, because when we placed spring there wasn't a lot of difference in the cotton prices, we started seeing benefits in summer and certainly in the back half. So that's all good news. Directionally when you do the math on what component cotton is to our total AUC and I'll just do something high level illustrative for. If you have the 20% improvement in cotton it equates to roughly about 2% improvement in AUC and that's before we make any mixed decisions or any other changes to our assortment. So it's super helpful, it's a positive thing, but it's not an enormous lever even into the back of. Again, but it's helpful. With regard to pricing, I would say given the promotional environment we've been living in, that is not really a great case in my view for changing pricing and giving that back to the customer. Of course what we will be looking to do is trying to return to help the margins in 2015, so that could be a lever, some of it offset by foreign exchange. But the cotton tailwind could be a lever and then we will be managing our promotional cadence to try and also support healthier margins in 2015.
Operator: Your next question comes from Matt McClintock with Barclays.
Matt McClintock: I was wondering if we could focus on Athleta for a minute. Plans to only open 20 stores this year seems like a slowdown from growth over the past several years, so just wanted to think about how you're thinking about growth for that specific brand? That would be helpful. Thank you.
Art Peck: I'm actually very glad you asked that question, so let me just step back for a second and talk a little bit about the journey that Athleta is on. Obviously, started as a catalog and then an online retailer, we only opened store a few years ago, and as we've opened these stores, the number one store in the market and then the follow on stores in that market, we are really learning a lot about kind of building a retailer from the digital world, if you will, into the physical world and how the two channels interact with each other. And what they've learned is very positive, which is that we can build stores and we can continue to get the growth out of the direct channel at the same time, which is obviously great growth, accretive growth and really attractive from that standpoint without having to put physical assets in the ground and so I have no modification in my mind in any way shape or form about the growth rate and the growth prospects of the business just as we are learning about how we get that between the two different channels, we are trying to be really responsible obviously and optimize the overall returns of that business by the differential growth rate in the two channels. So if you or anyone is interpreting this as somehow we are losing a little bit of for optimism for the business, that's absolutely the wrong interpretation.
Operator: And we will go next to Kimberly Greenberger with Morgan Stanley.
Kimberly Greenberger: Great. Thank you. Art, I wanted to ask you about the supply chain and I'm trying to reconcile two comments that seem a little bit contradictory. You indicated that you've got current capabilities to be able to respond in season to bestsellers and adjust your merchandise flows. But I think during your prepared remarks, you said that you're basically in 2015 already bought through fall here at the end of February. So I'm just trying to understand how those two things happened simultaneously? And is there a point in future years where you think we'll be sitting at the end of February, not bought out for the next six to eight months?
Art Peck: So I think I can resolve the potential inconsistency that you see there. And part of the issue is that, just being very straightforward on this, with everything that's been going on at Gap, they are probably on the lagging side of having implemented some of the supply chain capabilities. And so even now with Jeff coming in, Kimberly, we are actually taking a pause and we will be shortening our product calendar, number one at Gap. And then number two, pushing much more aggressively on some of those things that in season or close to being in season allow us to be very responsive like an aggressive push on fabric platforming and those kinds of things. And so while I am bullish on this, I see this working in our other businesses, I wish Gap to push further forward because it would give us the ability to be a little bit more responsive right now. They are not as far as they will be very quickly. And then the other issue is, if you look at it, let's rewind from fall, fall is sometime probably in early August, so it's actually not that far away right now if you consider the production cycle on motion times et cetera et cetera. And so I don't think it's contradictory at all and will definitely pushing forward on this. I wish Gap was in a different place, but they are the laggard as it comes to implementing this and that is something we are correcting right now.
Operator: And we will go next to Susan Anderson with FBR Capital Markets.
Susan Anderson: I was wondering if you could maybe expand just on your vision for the Gap segment, what needs to transform there? Do you think it's all product or is there any other structural pressures going on, given the entrance of new competitors? And then do you feel comfortable with its store base, given the focus on e-commerce and omnichannel? Thank you.
Art Peck: That's funny because I remember sitting in our design center in 55 Thomas in October of 2011, and the question was asked it was similar to that when I was in Jeff's seat. And as of February 2012, when we really had on brand and appropriate products that was really aligned with the trend of the season that was the new bright marketing campaign that the product to market and then we saw very, very good numbers come out of the brand almost instantaneously with getting the product back on track. And so I'll be honest with you, right now, Susan, I'm really much more focused on the establishing the aesthetic direction in the women's business and getting product in our stores that reflects what our customers expect with this product that is feminine, product that has an optimism associated with the, obviously casual product with an American aesthetic and I know there is upside associated with doing that. And then we do that and that gives us the time to then look at any other issues. I would also just refresh the memory that while I was sitting in that seat, we closed a couple of hundred stores and had made very good progress there from the standpoint of really rationalizing the fleet to be in the kind of real estate that we felt a brand like Gap should be exposed. And so right now I want to stay focused with Jeff and the team he has put together on getting the products to aesthetic right. The other thing I will say here again is that and as we talked about, we have a very good men's business, the kids and baby business remains healthy for us and the fit and Gap body business is a good business also. And so for me largely this is a women's business right now and it's what our focus is on.
Operator: And we will go next to Oliver Chen with Cowen and Company.
Oliver Chen: Regarding your focus on your feature here, regarding the aesthetic direction, are you thinking that the women's tops – which classifications might have the most opportunity? And then how do you think you can attempt to marry the great efforts for consistency versus creative and balancing the art and the science of retail? I'm most curious about the Gap division and what kind of observations we should look for as we check the stores.
Art Peck: I can see you thinking about the business in the right way, not surprising. Right now as I mentioned, we are seeing a little bit of life in denim and the resolution denim has gotten a pretty good reception from customers. They are really finding that the like the whole notion of it, the fit, the fabric, obviously denim has been, I characterize as this, customer has taken a bit of a pause in women over the course in the last several quarters, and I would say as much from our business but also having just been in New York during fashion week and seeing what was being talked about, what was on the showrooms, what the news was in denim, I'm not going to call it a turn in denim, but I'm feeling for the most part – I feeling now differently than I felt for a while which is probably coming back to denim in a way that we haven't seen her be for several quarters. So encouraged there, but it's early days. Tops is tough right now, and it's wovens and knits, it's a fit issue, it's a fit intent issue, it's an aesthetic issue and so we are very much focused on that and with much focused on fixing that as quickly as possible. And so if I had to go to one category, I would definitely say it's in the top's business and obviously both knits and wovens for Gap brand are very material categories and the product is just not – she is just not responding to the product there right now at all. So we just stop there, I mean that is the work that we need to do. On the issue of the tension of consistency and creativity, I actually think that's [indiscernible] let me just give you an example. Fit, so fit in bottoms, fit for us which is a huge issue with respect to a women's loyalty towards her pants. We should be the experts of fit, we have been experts at fit and shame on us when we lose consistency on it, because when she can't count on us. It also as you might imagine has an impact on the business to business, because if she counts on fit and the fit has changed then we obviously have an issue with returns right now. And so fit consistency is a science, it's a discipline, in no way does it impede what we need in terms of the great creativity of design teams. And so I guess I worked in other creative businesses during my career and I've always calm that rather than being a trade off between consistency and discipline and creativity on the other side, consistently and discipline enables creativity and frankly it takes a lot of the work away from what the team has done, has to do at the end of the day. So and this is really the reaction I see from our design teams as well, they want to win and they want to have a foundation that they can build on every season.
Operator: And we will go next to Dorothy Lakner with Topeka Capital Markets.
Dorothy Lakner: Just going back to Gap brand again, for a second, Art, I just wondered, you've described what you're going to be doing, but what should we look for? What should we see in the stores as we move through this year of transition, I guess?
Art Peck: So the words that use when I describe Gap which I think are very relevant are casual optimistic and American. And if you haven't been in our stores and looked at our assortment, I would suggest you need to, but I suspect that you have. And I would challenge you to find that we are consistently expressing casual American optimism through the product expression that we have in our stores. And so those are the words that we were using and now, what does that mean tangibly? So in summer what you will see as there is some more – it was a very neutral summer that we had last year, you will see more color, brand appropriate color coming back into the business by the time we get to summer. So that's a change that has been made. Print and pattern obviously as we get into late spring and summer, not so much in spring, but you will see a bit more of that when we get into summer as well and then as we move into fall, there is little bit more and then the work that's going on right now on holiday, it's holiday for Gap is really a time we are very optimistic expression of the brand, it's a time when a lot of the industry tends to go to a very dark and neutral place, we have done very good business over many years with the more optimistic expression of the brand during that time frame. It doesn't mean going nuts on crazy type again, go nuts on [indiscernible] some of the other sort of trends perhaps that you see during holiday, but we have an opportunity to express the brand in a very optimistic and colorful way there. It's also obviously in a feminine way, which is the other piece that's missing from the women's business. And so I'm not going to call a turn on the business right now, being very honest with you about the work that's going on and when you will start to see some change and I'm not promising anything that we will get later the year, but I think even as we get to summer and the fall, you will start to see the brand shift a little bit more to the express – through the appropriateness of the brand.
Operator: And we will go next to Thomas Calandra with Susquehanna International Group
Thomas Calandra: Question about the marketing. I think the overall spend was only up slightly, so I was hoping you could remind us what the incremental spend was for the Gap Brand in 2014. And, Art, given your digital expression comments, how should we think about dollar spend in 2015 and any adjustments to the mix in the spending? Thank you.
Art Peck: I’ll let Sabrina grab the specific number if she wants to talk about that. I would rather go to a slightly different place, which is to really talk about the change that we made in the structure of digital marketing and it’s something that I did very intentionally and I did it very intentionally in the two brands that we did it in, under two leaders who I know very well and I think are enlightened and very capable leaders. You’re going to want to know what is that mean at the end of the day and that we just give you a couple of things that would probably tell you that talk about. Our brands are being engaged digitally much more so than two traditional marketing vehicles and the good news about digital engagement is we have a much better line of sight to the return of our spend in digital engagement versus some of the traditional marketing vehicles like a billboard or a transit or those kinds of things. And so part of what I am trying to do by bringing those two things together is to really get our arms holistically around how the customer is engaging our brand and then start managing that for the highest returns in our overall spend. And I’m not going to say that we are going to spend less marketing but I am honestly pretty confident that we’re going to be able to see a path towards evolve into higher returns on the marketing spend that we have across a number of different vehicles. The second thing which I have highlighted that I want to highlight again is that we have had the luxury of living with our digital expressions of our brands, our websites, as being very efficient transactional channels. Today to me it becomes a hand, which is those digital properties also have to carry the aspiration and the emotion of the brand as well as being very efficient channels. And by bringing those two things together, we really now have leaders in an organization that’s going to be thinking digitally first in everything they do and [indiscernible] which is if you’re shooting marketing assets for traditional marketing vehicles, often times those assets don’t manifest themselves in the best way possible for digital use. And we just need to pivot to a digital first mindset. I do believe we will get some efficiency out of doing that, I am much more excited about the effectiveness of our overall spend that we’re going to see.
Operator: And we will go next to Paul Lejuez with Wells Fargo.
Paul Lejuez: As you think about the issues facing Gap Brand, Art, I'm just wondering if Gap internationally is facing similar issues, or have they out-comped the North American business? And also specifically, if you could comment on how Gap China has performed both for the full year and in the fourth quarter? Thanks.
Art Peck: It’s kind of a mixed bag quite honestly and really depends as a function of couple of things. Obviously how the assortment was bought and how the team in a given part of the world would pressure on different parts of the business. In some places in the world, like in China as an example, our kids and baby business index was much higher into the overall business than the adult business and that business has been pretty consistent and pretty strong and so she is what I would say. As we’ve had the same product issues, the product issues in North America, product issues everywhere, in that we have brought the business different and the customer engagement, the business is different, we’ve seen level of strength in China as an example that have been better than what we’ve seen in other parts of the world, I don’t know if Sabrina if you want to talk at all about specifics in China business?
Sabrina Simmons: We don’t break out very much, but I think directionally that’s appropriate. I think we had more success in China certainly then we saw in North America with the assortment and a lot of that is how it was bought in China and the favorable mix in kids and baby, which continues to be more of a relative strength.
Art Peck: The other thing I would say just to put a period at the end of the sentence, we’re confident that as we make progress in the women’s business it will have an impact around the world.
Operator: And we will go next to Betty Chen with Mizuho Securities.
Betty Chen: I was wondering if we can shift gears for a moment, Art, and talk about Old Navy? Just had a great quarter to wrap up a nice year. As you look at the brand, what are some potential opportunities for the brand going forward and when we may see that play out to 2015?
Art Peck: So if I just step back and look at the opportunities for the brand, opportunity number one is consistency, season after season and that’s what gives me probably more excitement than anything about the fact now that we’ve had a little bit of a run there with consistent product, which the customer has consistently responded to. I would also really point you to the expression of the brand in no marketing. I follow them – probably the best place that I go to honestly to see it is on Instagram, I follow Old Navy and a number of our other brands as well as a number of other brands and there are times when I look at Old Navy's inventory on Instagram and it's hard for me to distinguish between a premium or premier contemporary brand in terms of the aspiration of the fashion that we are presenting. And so Stefan uses the word aspirational, I think it's a great express and that you see – when you see those brands against each other, how Old Navy is really communicating the fact that it's got current trend that is right where it needs to be right now and clearly that's what she and the overall family was responding to. Still bullish obviously for the Old Navy, so that's in the domestic business. Given the consistency, there is a long runway in front of us there in terms of opportunity. Very bullish on the international business and the expansion that we have in both Japan and in China, and then a couple of places worth highlighting inside the assortment. I touched on the fact that Old Navy has a family wide active expression, we've had tremendous customer reaction to that, she is really engaged, and she is engaged on behalf of the family, kids, the men's business, the active expression, and that's a place where – if that's a trend, that's a trend that's got a long runway in front of it. And so we're excited about being able to build out that business. And it's a business that is essentially purely incremental for us inside of Old Navy. That is a real estate to house the business, we are not having to trade off other key categories, so it's a very nice incremental business for us, it allows us to build the business, productivity in the real estate and give another reason to come inside the store.
Operator: And we will go next to Lindsay Drucker Mann with Goldman Sachs.
Lindsay Drucker Mann: Sabrina, I wanted to follow up on currency. The guidance that you have for the translational and transactional headwind in this year's earnings guide, does that also include some of the cushion or the protection you got from hedges that have been in place? And as a result, as we're thinking about our 2016 model, I know you haven't given any specific guidance, but as we're looking at out-years, should we also be thinking about a currency headwind to factor in? And then as part of that question, this isn't your first moment dealing with currency, do you guys have an approach, a plan of attack, on how to defend margins, whether it's through pricing or cost savings? Have you considered, maybe in Europe, diversifying your sourcing capabilities to include some local manufacturing or any other initiatives you're taking to protect margins from this? Thanks.
Sabrina Simmons: On the first question, it definitely, Lindsay, includes the hedge rates embedded, so the guidance includes the hedge rates for 2015. And as I mentioned, we hedged about 18 months in advance, so the hedge rates tend to lag by about 12 to 18 months. So they worsened again that they didn’t worsen to the degree that they did coming out of 2013 to 2014, but that is all embedded. With regard to how we look at the spending margin that, I would say we look country by country certainly and we don’t feel like in a lot of other countries, given the competitive landscape and the orientation towards value of the customer, that there is a lot of room to just full sale increase prices given the increase in AUC driven by the stronger dollar. What we look at more is how do we affect and address the issue through our promotional cadence through our sales and mark downs, I think that’s what we’ve been trying to do overall for the last year and a half as we’ve been facing the pressure already, and we’ll continue to look at sourcing mechanisms as well. As we move forward, since we’re probably be in the dollar strong environment for a little while here.
Operator: And we will take our final question from Anna Andreeva with Oppenheimer.
Anna Andreeva: Happy to have made it. I guess the question to Art, as you think about reinvigorating the Gap Brand, how do you think the target customer demographic has changed here over the last couple years? And how do you segment the market between Gap and Old Navy, just to make sure the brands are different enough to coexist in the marketplace? And to Sabrina, just to follow up on the guidance, are you embedding any of the buyback activity for 2015? Thanks
Art Peck: So I will take a quick pass at this and then I’ll hand it off to Sabrina. So let’s be clear. We participate in almost $2 trillion global marketplace for apparel and accessories. And so as a company that has $16 billion roughly in revenue, there’s a lot of space out there. As to the target customer for Gap, I think I am less focused on the target customer than I am on the fact that Gap at its best has historically been a pretty democratic brand. And what gives me the greatest pleasure is to see a woman with her daughter, either a young daughter or her adult daughter, shopping in the brand and that is exactly what we saw back in 2012 and in 2013 when we had products well priced, appropriate for the brand that was on trend in our stores. And so I’m a little less in time to embrace sort of the two-dimensional cut out of a target customer rather than great products that’s right for the brand and for the aesthetics for a brand with probably a good business. And then as to our brands completing with each other, my basic perspective on that is get the best products you can through your brand filters and there is a lot of competition out there to go indeed. And I’m less inclined to think about our brands competing against each other than competing with both fits against our competitors and winning every day. Sabrina?
Sabrina Simmons: Briefly on the buybacks, you know our range, we’ve included various scenarios and given our track record I think it is safe to say our scenario would include some level of buybacks.
Katrina O'Connell: Great. I’d like to thank everyone for joining us on the call today. And as a reminder, the press releases, which is available on gapinc.com, contains a full recap of our fourth quarter results and as well as the forward-looking guidance included in our prepared remarks. And as always, the Investor Relations team is available after the call for further questions. Thank you.
Operator: That does conclude our conference. Thank you for your participation.